Operator: Greetings and welcome to Centrus Energy Fourth Quarter Fiscal Year 2025 (sic) [2024] Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Neal Nagarajan, Head of Investor Relations. Thank you. You may begin.
Neal Nagarajan: Good morning. Thank you all for joining us. Today's call will cover the results for the fourth quarter 2024, ended December 31. Today we have Amir Vexler, President and Chief Executive Officer and Kevin Harrill, Chief Financial Officer. Before turning the call over to Amir, I'd like to welcome all of our callers as well as all of those listening to our webcast. This conference call follows our earnings news release issued yesterday. We expect to file our report for the fourth quarter and full year on Form 10-K later today. All of our news releases and SEC filings, including our 10-Ks, 10-Qs and 8-Ks are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain information we may discuss on this call today may be considered forward-looking information that involves risks and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, February 7, 2025, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you for your participation and I'll now turn the call over to Amir.
Amir Vexler: Thank you, Neal. And thank you to everyone on the call today, both long-time listeners and the growing number of those joining us for the first time. I'd like to quickly welcome Neal to the team as our new Head of Investor Relations. Neal brings a wealth of experience to this role and his hiring is another example of us continuing to build out our core function at a pivotal time. I would like to also thank Dan for his previous service in this role and for his continued support of Centrus' corporate communications effort going forward. This is another year of success for Centrus Energy as we made significant progress across all fronts and continued our efforts to restore America's ability to enrich uranium to meet the nation's energy and national security needs while creating thousands of jobs in the process. As previously announced, this year, we already won a DOE contract award for HALEU deconversion, won a DOE contract award for HALEU enrichment, continue to successfully enrich HALEU under the operations contract with DOE, signed long-term contingent LEU sales commitments and grew the company backlog to $3.7 billion through 2040 and delevered our balance sheet through strategic initiatives associated with our pension plan. This past quarter, we continued on this progress by winning a DOE contract award for HALEU enrichment, further strengthening our capital position by issuing 402.5 million of convertible senior notes, accelerating centrifuge manufacturing preparation while de-risking our American-only supply chain to strengthen our first mover advantage and delivering to the Department of Energy a total of 545 kgs of HALEU to date in Phase II of the operations contract. Outside of our accomplishment, we saw many industry dynamics continue to shift in our favor as I will discuss shortly. But first, let me dive into the quarters and annual results. Starting with our annual results, recall that the majority of our revenue is derived from the LEU segment where customers generally have multi-year contracts to take delivery of a given quantity at a given price each year. As we have previously stated, our customers choose which quarter to take their annual deliveries and don't choose the same quarter every year. For the full year 2024, we achieved $442 million in revenue, a gross profit of $111.5 million and an operating income of $48 million. We have continued to deliver strong revenue growth and solid margin in our LEU segment even as we work through a number of trade actions. We have secured waivers from the U.S. Department of Energy allowing all of our planned imports in 2024 and 2025. We are working through the 2026 and 2027 waiver process with the department. Meanwhile, in November, the Russian government revoked the general license that our supplier TENEX had for exporting material from Russia to the United States and now requires specific license for each shipment. We have been informed that TENEX has received three specific licenses to date to export LEU to satisfy our pending orders. We will use the majority of this LEU to satisfy pending orders to a single customer on a delayed basis. TENEX has informed us of its plan to seek additional export licenses to meet its delivery obligations under the TENEX supply contract for our pending and future orders. We are in close communications with TENEX as well as our customers whose orders may be impacted to mitigate any potential future disruptions or delays. Turning to our operations. Let me first discuss three contract awards we won under a competitive solicitation from the DOE. These are designed to jumpstart American production of both low-enriched uranium or LEU and high-assay, low-enriched uranium or HALEU. In October, we won contract awards for HALEU enrichment and HALEU deconversion. And then, in December, we won a contract award, the LEU RFP, which will provide funding to restart American LEU enrichment, reducing U.S. dependence on foreign, state-owned sources of enriched uranium. As a reminder, these contracts were awarded as IDIQs; indefinite delivery, indefinite quantity, essentially meaning that we are eligible to compete for future task orders under each contract. The next step in the process will be for the DOE to issue task orders under each contract. The ultimate dollar value of our contract and the scale of the expansion they could support will depend on past quarters what task orders for each we will compete and hopefully win. These three contracts are in aggregate backed by more than $3.4 billion in congressional appropriations that were approved as part of the Inflation Reduction Act in 2022 and the bipartisan government funding bill in March 2024. Taken together, they represent the largest federal investment in domestic nuclear fuel production in decades. We made a strong case to the government to receive robust funding under these future task orders. Centrus is uniquely positioned to deliver a made-in-America solution that uses an American-only supply chain in manufacturing to support American jobs. We are the only American company with a proven enrichment technology and an NRC license to enrich uranium up to just under 20% for HALEU and one of two companies with an NRC license to enrich LEU. Restoring a truly domestic uranium enrichment capability will strengthen our energy security and our national security while creating family-supporting high-tech jobs for American workers. The argument for choosing Centrus is further strengthened by the fact that the federal government needs a U.S. origin enrichment technology for national security mission and we have the only deployment ready technology capable of meeting those requirements. That's crucially important because commercial enrichment facilities using foreign enrichment technology cannot be used to support U.S. National Security mission. In fact, in late 2024, the National Nuclear Security Administration or NNSA issued a request for information or RFI for an AC100 centrifuge machine design deployment demonstration at the Piketon, Ohio facility to support NNSA defense mission requirements for enriched uranium. We believe that our technology will put the U.S. in a position to decouple itself from foreign influences and secure energy autonomy while keeping American taxpayer money in the U.S. Centrus offers a proven American technology that would keep jobs in America to support both commercial and national security needs. We agree with what the U.S. Government has said all along that this needs to be a public-private partnership to be viable. European governments fund their state-owned enriches. We need our American government to in turn back an American alternative and we are ready to help support this push. As Kevin will discuss shortly, we have begun to lay the groundwork ahead of task orders being issued. In the fourth quarter, we significantly strengthened our balance sheet by closing of over 400 million of convertible notes. This move facilitated our ability to begin investing in our future and, in late November, we announced an approximately $60 million investment to resume centrifuge manufacturing activities and expand our manufacturing capacity at our Oak Ridge facility over the next 18 months. This investment serves to de-risk Centrus' supply chain while reinforcing our first-mover advantage in domestic centrifuge production by kickstarting the process ahead of government task orders being issued. Nuclear power already accounts for nearly 20% of 2023 U.S. electricity production and all of the required enriched uranium for U.S. nuclear reactors currently comes from foreign, state-owned entities. There is a large existing addressable market for Centrus to penetrate. With Congress' enriched uranium ban, we know that the approximately 25% of enriched uranium that is currently imported from Russia will need to be replaced starting in 2028. We continue to hear about mothballed reactors coming back online from Palisades in Michigan and Duane Arnold in Iowa to most recently Santee Cooper's announcement that it is seeking buyers to complete the project at South Carolina's V.C. Summer Nuclear Station. We also know that utilities are considering operating many of their existing reactor fleets to avoid potentially costly new builds over the near term. And then there is international opportunities. These include markets that continue to ramp up reactors or otherwise are considering nuclear energy, such as in Europe and in Japan. Then there's additional opportunities that could further accelerate nuclear's growth. In the second half of 2024, we heard a number of big tech companies announcing historic and unprecedented investments in nuclear energy. But we cannot just rest on the prospects of this large and growing energy market as well as nuclear's growing share of the market. Credibility is built off of customers. To date, we have secured a cumulative total of approximately $2 billion in customer-contingent LEU sales commitments to support deployment of our new LEU production capacity in Piketon. This is a clear sign from utilities that they need to secure more supply and that the market demands more competition, so they are turning to Centrus Energy. We are very excited about our company's future prospects and look forward to building on our momentum. We have begun laying the groundwork ahead of the government's anticipated task orders, for which we plan to compete and look forward to sharing more with you on upcoming calls. With that, I will turn the call over to Kevin to walk through the numbers.
Kevin Harrill: Thank you, Amir. Good morning, everyone. Centrus reported another exceptional year of accomplishments exhibited by a year-over-year increase to revenue of nearly 40%. In addition, the company has undertaken several initiatives to improve its balance sheet and capital structure, including reducing the majority of our pension obligations, significant capital raises in the debt and equity markets, strengthening our cash position, SG&A optimization efforts yielding identifiable cost reductions, investment in our manufacturing capabilities to accelerate our time to deployment for our own plant production, and finally leveraging investment tax credit opportunities to partially fund these efforts In 2024, we generated $442 million in revenue, an increase of $121.8 million compared to 2023, and generated $73.2 million in net income compared to $84.4 million last year. We reported a gross profit of $111.5 million compared to $112.1 million in the prior year. Our LEU business generated $349.9 million in revenue, an increase of $80.9 million compared to 2023, driven by our growth in uranium and SWU revenue. The growth in SWU revenue was a result of a higher average price of SWU sold, partially offset by lower volume sold. The growth in uranium revenue was driven by increases in both the volume and average price of uranium sold. Furthermore, rising uranium commodity prices contributed largely to the year-over-year margin improvement by over 10%. Our cost of sales in LEU increased from $163.9 million in 2023 to $256 million in 2024, due to an increase in average SWU and uranium cost. SWU costs increased primarily as a result of a 67% increase in the average unit cost of SWU sold. Of the $256 million cost of sales, 25% is attributable to the release of costs related to previously deferred sales which incorporate the higher SWU price at the time of the deferral. Excluding the impact of these deferred sales deliveries, the average unit cost of SWUs sold would have only increased 27%. As I mentioned, the reason for the increase in uranium sales also drove similar increases in uranium costs. We ended the year with a gross profit of $93.9 million in our LEU segment compared to $105.1 million in 2023. Our Technical Solutions segment also generated $17.6 million in gross profit which was an improvement of $10.6 million over the prior year. As previously noted, on a consolidated basis, our gross profit was $111.5 million compared to a gross profit of $112.1 million in the prior year. Technical Solutions generated $92.1 million in revenue, an increase of $40.9 million compared to 2023, and reported $74.5 million in cost of sales, an increase of $30.3 million compared to the prior year. Our results on a year-over-year basis reflect the transition of the HALEU operation contract from Phase I, which was a cost-share arrangement to Phase II, which is a cost-plus-incentive fee arrangement. Our total company backlog was $3.7 billion as of year-end and extends to 2040. Our LEU segment backlog was approximately $2.8 billion and includes $0.8 billion of future SWU and uranium deliveries, primarily under medium- and long-term contracts with fixed commitments and $2 billion in contingent LEU sales commitments in support of potential construction of LEU production capacity at the Piketon, Ohio facility. During the first quarter, we entered into definitive agreements for $0.8 billion of the total $2 billion in contingent LEU sales commitments. The contingent LEU sales commitments continue to depend on our ability to secure substantial public and private investment. Our Technical Solutions segment backlog was approximately $0.9 billion and includes funded amounts, unfunded amounts and unexercised options. The unexercised options relate to the company's HALEU operation contract. As Amir noted, in the fourth quarter, we issued $402.5 million of 2.25% convertible senior notes for total net proceeds of $388.7 million. The proceeds from the offering deliver added liquidity to execute our strategic plans including our announcement for a $60 million investment for the resumption of centrifuge manufacturing activities and expansion of manufacturing capacity at our Oak Ridge, Tennessee facility that we announced in November 2024. We will also consider other strategic uses of these funds, including the possible retirement of our higher interest notes bearing 8.25% coupon, which have a principal value of $74.3 million. The issuance of the convertible notes follows the progress made in 2024 on further de-risking our balance sheet by reducing our pension plan obligations by approximately $280 million. As of the end of the year, we have $26 million remaining in these pension plan obligations with a funding level in excess of 118%. This will have ongoing savings realized through elimination of substantial recurring annual costs associated with the plants' administration, asset management fees, regulatory requirements, as well as the funding shortfall at the beginning of the year, for which the Company was ultimately responsible. Our continued positive operating results, coupled with the successful close of the convertible debt transaction and the reduction of our pension plan obligations contributed to an ending unrestricted cash balance of $671.4 million. Maintaining and growing a strong cash position continues to be a key in facilitating execution of our near-term contractual obligations as well as strategic investments in our long-term future. The Company is also engaged in exploring opportunities for investment tax credits. To this end, Centrus submitted an application in October 2024 for a clean energy manufacturing and recycling project credit. In January of '25, we received notification that we were approved for our request for $62.4 million in credit allocations for the manufacturing facility in Oak Ridge predicated on meeting certain requirements, including future investment in eligible property. All of the announced initiatives and investments are a part of a broad strategy to continue to optimize our cost structure, adequately manage our risks, and better position ourselves to execute on our vision to restore America's ability to enrich uranium at scale. With that, let me turn things back over to Amir.
Amir Vexler: Thanks, Kevin. I'd like to close by taking a moment to discuss the new administration. There is a long record of bipartisan support when it comes to nuclear power and, last year, both parties came together to approve a historic investment in domestic nuclear fuel production. Nuclear has and continues to enjoy resounding bipartisan support. That said, the new administration, as seen through Secretary of Energy, Chris Wright's confirmation testimony appears to be particularly bullish about the need to restore American-owned production of enriched uranium. We've heard incoming official talk about protecting and growing American jobs to support economic growth. We've heard about the importance of energy security. And we've heard about the importance of national security. We're also the only enricher that actually manufactures our centrifuges in the United States. In September, we held a briefing for policymakers on Capitol Hill and unveiled our domestic manufacturing supply chain, which includes 14 major suppliers, every one of them an American company employing American workers in at least 13 states. Our project presents the perfect opportunity for the president to deliver a major win in his efforts to restore American manufacturing and American energy independence. As I've previously noted, this is a once-in-a-generation opportunity to reclaim U.S. leadership and our nation cannot afford to squander it. We are excited by what is to come in 2025 and our continued evolution towards reclaiming America's rightful place in the enrichment market to service both the domestic market as well as for global customers. With that, we would like to open the lines to take questions. Operator?
Operator: Thank you. [Operator Instructions] Today's first question is coming from Rob Brown of Lake Street Capital. Please go ahead.
Rob Brown: Good morning.
Amir Vexler: Morning, Rob.
Rob Brown: Thank you. I just wanted to follow-up on the wins on the DOE contracts, the three contracts. Could you give us a sense of sort of the next steps in the task orders, and sort of what needs to, or how the decision making process goes to getting those task orders issued, and maybe a sense on the thinking on timing?
Amir Vexler: That's a good question, Rob. I honestly, I would not speculate on timing. I mean, we know that there is movement. Obviously awards have been given, so they're moving forward. Just I would not guess anything on timing. I think it would be too hazardous, to say that. But as I said, we are encouraged in that there is forward movement. And your first question was, if there's any other color we can add to what's been already announced. I believe, I'm paraphrasing.
Rob Brown: Yes, just sort of the next steps that go into the process?
Amir Vexler: Yes. So the next steps would be specific task orders that the department would issue, to the awardees. And again, we really have no insight into those and the timing.
Rob Brown: Okay. Thank you. And then you did talk about a $60 million investment, to get your jump-start things.. Can you give us color on kind of what goes into that, and where that puts you in terms of position, to really react to the task orders as they come through, if they come through?
Amir Vexler: Yes. So really all of these things are connected. We want to make sure that we hit the ground running as fast, fast and as hard as we can when those come out. So that allows us to do a lot of our prep work. And I would call that readiness, investment in our readiness. I don't know, Kevin, if you want to add anything else, but that sort of is the high level.
Kevin Harrill: Yes, no, I think that's right. And the important element of what we're trying to accomplish. And we've talked about this to the public, is as we move forward with regards to deployment of our initial cascades, there is some additional time that's going to be required, associated with our supply chain, and standing that up for wide scale distribution and production. And so, this monies basically are being invested in order for us to start the process, and continue what we perceive as our first mover advantage in regards, to many of the things that we're trying to accomplish in, in bringing enrichment back to the United States, to a domestic owned company.
Rob Brown: Great. Thank you. I'll turn it over.
Operator: Thank you. The next question is coming from Joseph Reagor of ROTH Capital Partners. Please go ahead.
Joseph Reagor: Hi guys, thanks for taking the questions.
Amir Vexler: Morning, Joe.
Joseph Reagor: Good morning. So first thing on the TENEX wins. Obviously congrats on getting some positive news there. I know you're not going to give specific numbers around it, but in the overall context of things, three specific licenses out of, is it 50, 100, 1,000, like order of magnitude, even if it's an arm wave rather than a specific number?
Amir Vexler: Yes, we can't get into those types of details, Joe. What we are and have disclosed, as a part of our reporting is that the Russian decree that came down the pike in late last year, specifically put a pause for TENEX, the provider, in regards to their ability to provide distribution, of the enriched uranium outside of Russia exporting into the United States. And so, we have seen good traction with regards to several of our individual deliveries and shipments. But those, as it was crafted under the Russian decree, are on a case-by-case basis, on a shipment-by-shipment basis. So right now, like I said, we've seen positive traction over our first three shipments, but we can't speak and speculate on, what's going to transpire in the future.
Joseph Reagor: Okay. Fair enough. I had to ask. Then, second question. Yes. On the uranium sales in Q4, they were abnormally high. This is - usually this is like tail uranium rate, but did you guys sell any uranium inventory that drove that $73 million of revenue, in reaction to what occurred in November, or is this just taking advantage of an opportunity in the market?
Amir Vexler: This is taking advantage of an opportunity in market. Obviously, UF6 is at historic levels, upwards of $300 a kilogram. So this was a perfect opportunity, where we were able to get matched up with our counterparty, and reflect and recognize a key spot sale for us in that December time frame that, helped to the results of the annual cycle.
Joseph Reagor: Okay. I'll turn it over and jump back in the queue.
Amir Vexler: Thanks, Joe.
Operator: Thank you. The next question is coming from Ryan Pfingst of B. Riley Securities. Please go ahead.
Ryan Pfingst: Hi guys, thanks for taking my questions. First, regarding the $60 million investment made in November, or announced in November, is it fair to say that that officially kick starts the 42-month timeline you've spoken about, to bring on the first commercial cascade?
Kevin Harrill: Yes, that is an accurate characterization.
Ryan Pfingst: Got it. Thank you, Kevin. And then maybe just following up on the last question - for fourth quarter results, strength was driven by the price of SWU in uranium prices. And just wondering, was there anything else there that drove that strength that we could see in 2025? I know you don't give guidance, but could you maybe talk about your expectations for 2025 maybe directionally, compared to 2024?
Kevin Harrill: Yes. No. As you noted, Ryan, we don't provide earnings guidance, so it's a little difficult to go into the details as - to whether transactions will be replicated in future periods. What I can say is, we definitely are very opportunistic, especially on the uranium side. And so, when you look at our financial statements and our balance sheet, we do still have a sizable amount of inventory left. And specifically that, which is helpful for us as it relates to monetizing some of the transactions in a rising market, on the UF6 side is really being in a position, to sell those from a spot sale perspective. So I think, we'll continue to evaluate the economic climate, and the commodity pricing, and if opportunities come up. I still think, we do have obviously dry power on the balance sheet that we have reflected, but couldn't go into any more details than that.
Ryan Pfingst: Great. Appreciate it. I'll turn it back.
Kevin Harrill: Thanks, Ryan.
Operator: [Operator Instructions] The next question is a follow up coming from Joseph Reagor of ROTH Capital. Please go ahead.
Joseph Reagor: Hi guys, just had one more. I noticed in the release some talk about an investment tax credit, and that if you guys spend a $200 some million get $60 some million back, what does it take to trigger all that? And then and over like what period of time. And then how would that work from an accounting standpoint?
Kevin Harrill: Yes. So from a timing perspective, we would have to put this, and there's a few conditions, but ultimately the time frame in, which we could capture costs that we'd be able to realize are approximately four years. And this is all stipulated within the [48C] legislation, or I should say the IRC, which basically touches upon that you need to meet certain conditions within a two-year time frame. And then put the property into its useful life thereafter. And the period of time in, which we can actually bear cost is at a subsequent two years thereafter, the initial two-year timeframe. And so, when you look at how we'll be able to realize this and monetize this, we can actually go out and what's been established by the government, is a marketplace that we can sell into and monetize these. So these won't be necessarily subordinate to the NOLs. And when you look at what we're trying to accomplish on a global basis, this will support the initial investment that we have that starts that 42-month clock. Obviously conditional upon the funding that will come out of the government that will continue the process of incremental investment that, we'll be able to go about on our own. And did I cover all your questions, Joe, or did I miss anything?
Joseph Reagor: I think that covers the gist of it. And then, if I could just one follow-up to the previous caller's question about the 42 months. When would you guys need the task assignment to be given by in order to maintain the 42-month time frame now that you've kind of started the clock?
Amir Vexler: Let me just maybe clarify what Kevin said. And Kevin, please step in and clarify my clarification if needed. We are making an investment, to improve cycle time to get a jump start on the process, which we have sufficient confidence in that it's forthcoming. I will officially stick to the 42 months, and I would not make any more aggressive assumptions than that. Just from a conservative standpoint, obviously we want the process to start, as quickly as possible and that's when the start - that's when the clock starts. Now again, we're doing a lot of work, and we're spending money to make sure that we improve cycle time, and we position ourselves in the best possible spot. But officially, let's make the assumption of 42 months at this point, and let's not assume anything more aggressive than that.
Kevin Harrill: Okay. Just - yes, I was just going to add to that, with our November announcement, we start the process of, as I mentioned earlier in the call, derisking the supply chain, putting us in a position where we start to equip the facility in Oak Ridge at a level that's going to enable us to be in a state where we can operate at higher production levels. But all of this will be predicated on government monies. So the $60 million is a jump start for us to start this, but we would be looking for some sort of tangible task orders, from the government over the next six to 12 months, to enable us to basically have the baton handed off to us, as it relates to government funding, to allow us to continue that trajectory that we've announced, on the 42-month side.
Joseph Reagor: Okay. I think that clarifies it. It was a little confusing before. Thanks guys.
Kevin Harrill: Yes, sorry about that.
Amir Vexler: May I hope Brian's still online, and listening to this.
Operator: Thank you. Ladies and gentlemen, at this time, I would like to turn the floor back over to Mr. Nagarajan for closing comments.
Neal Nagarajan: Thank you, Donna. This concludes our investor call for the fourth quarter and year-end 2024. I'd like to thank all of our listeners, and the analysts who called in, and we look forward to speaking with you again next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect your lines, or log off the webcast at this time, and enjoy the rest of your day.